Operator: Good day, ladies and gentlemen, and welcome to the Shenandoah Telecommunications’ First Quarter 2013 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions) As a reminder, this conference call is being recorded. I would like to introduce your host for today’s conference, CFO, Adele Skolits. Please go ahead.
Adele M. Skolits: Good morning and thank you for joining us. The purpose of today’s call is to review Shentel’s results for the quarter ended March 31, 2013. Our results were announced in a press release distributed this morning, and the presentation we’ll be reviewing is included on the investor page of our website at www.shentel.com. Please note that an audio replay of the call will be made available later today. The details were set forth in a press release announcing this call. With us on the call today are Christopher French, our President and Chief Executive Officer; and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we’ll conduct a question-and-answer session. As always, let me refer you to slide two of the presentation, which contains our Safe Harbor disclaimer, and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of our various risk factors in our SEC filings, which we strongly encourage to review. You’re cautioned not to place undue reliance on these forward-looking statements; except as required by law, we undertake no obligation to publicly update or revise any forward-looking statements. Also, in an effort to provide useful information to investors, we note on slide three, that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, are included in our SEC filings. These reconciliations are also provided in an appendix to today’s slide presentation. I’ll turn the call over to Chris now.
Christopher E. French: Thank you, Adele. We appreciate everyone joining us this morning. I’m pleased to report, we’re off to a great start this year with significantly improved financial performance, improving results in our cable segment and great progress towards our goal of having 100% 4G coverage in our wireless network. Our financial highlights are shown are slide five. Net income increased 87%, reaching almost $8.4 million compared to just under $4.5 million in the prior year. Revenues were $76 million in the first quarter, growing by 10.4%. Growth in wireless customers and cable RGUs was a significant driver of the revenue increase. Operating expense only increased by about $800,000. The smaller increase was held by a drop in the amount of accelerated depreciation on 3G sites already replaced by 4G technology. Specific wireless segment highlights are shown are slide six. We again had positive net wireless additions in both our postpaid and prepaid services with a number of total customers up nearly 1.9% over the year end 2012 number, and 9.1% higher than first quarter 2012. We added 1065 net postpaid customers during the quarter, reaching a total of almost 264,000, which is a year-over-year increase of 5.3%. Prepaid customers grew by 6,227 in the first quarter to a total of just over 134,400. Customer and revenue growth along with lower depreciation expense, and the small increase in cost of goods sold led the operating income in the wireless segment a $15.8 million, an increase of $5.3 million or over 50% higher than the first quarter of 2012. At the end of the first quarter, over 70% of our covered POPs had access to our 4G service, and we remained on track to complete through remainder of our network at the end of the third quarter. Cable segment highlights are shown on slide seven. All but one of the upgrades of the cable systems acquired in 2010 have been completed, and we expect this last system to be finished in the coming months with fiber drops continuing to be installed throughout the rest of the year. Cable segment total RGUs increased by 1,685 in the first quarter, an increase of nearly 1.5% over the year end 2012 total and an increase of about 2.3% from the end of first quarter 2012. Consistent with cable industry trends, we experienced a slight decrease in basic video RGUs, but we did have good increases in digital video, high-speed Internet and voice services. We ended the quarter with a total of approximately 116,576 RGUs. In summary we’re very pleased with the first quarter results and our positive trends. We’re approaching the end of our major capital projects to upgrade our acquired cable systems, and to deploy 4G LTE service in our wireless segment. As you can see we’ve experienced improved profitability and increased cash flows, coupled with the generally improving economic environment, we’re even more optimistic about our future. I’ll now turn the call back to Adele to review the details of our financial results.
Adele M. Skolits: Thank you, Chris. I’ll begin on slide nine. On this slide, you see that both operating income and net income for the first quarter of 2013 had strong increases compared to the same quarter of 2012. Operating income increased over 72% reaching $15.2 million. Net income for the quarter was almost $8.4 million, an increase of 87% over the first quarter of 2012. Earnings per basic and diluted share for first Q 2013 was $0.35, up from $0.19 in the prior year. Looking at slide 10, adjusted operating income before depreciation and amortization or OIBDA for Q1 2013 was $29.6 million, up $2.9 million or almost 11% from Q1 ‘12. In order to better understand the forces driving this growth, I’ve provided the OIBDA results by segment on slide 11. What you see from this table is that adjusted wireless OIBDA has grown by nearly 10%, cable results have improved by more than 53%. The wireline segment’s result is virtually even with Q1 ‘12 since the growth in the fiber sales, and retail rates is offsetting the loss of long distance carrier access billings, and modest loss of wireline retail customers. Next, I’ll go into the wireless and cable OIBDA changes in-depth. On slide 12, I’ve analyzed the changes in the wireless OIBDA results between Q1 ‘12 and Q1 ‘13. Postpaid revenues continued to grow, increasing by $3.3 million as a result of the growth in our customer base, and growth in data billing rates. The $10 smartphone fee was built at 62% of our postpaid customer base in March 2013, up from 44% during March of 2012. In addition, the average number of postpaid customers in Q1 ‘13 was 5.5% greater than Q1 ‘12. Prepaid revenues grew by $1.9 million, primarily due to growth in the average number of prepaid customers of nearly 19%. As a result of a lower percentage of customers added through Shentel channels, and the reduction in the number of new customers choosing an iPhone or similar smartphone, postpaid customer acquisition costs are 800,000 lower, acquiring prepaid customers involves additional expenses related to handset subsidies, commissions, marketing and other sales related costs, and these costs grew by $2.4 million. Gross prepaid additions are up 10.6% over Q1 ‘12, driving the majority of this increase. The implementation of 4G technology requires either fiber or microwave based backhaul technology, rather than the copper based T1s we had been relying on for most of our 3G cell sites. In addition, we’re paying more rent at the cell sites where we have upgraded to 4G. These two factors, along with the increase in volumes of data traffic and customer growth drove growth in network costs up $1.5 million in Q1 2013. On slide 13, I’ve shown the components of the changes to adjusted cable OIBDA. High-speed data revenues have grown by $800,000 and voice revenues by $200,000 in Q1 2013 over Q1 ‘12 with modest increases in costs. Our cable sales promotions to new customers shifted between Q1 ‘12 when it was discount on service to a gift card in Q1 2013. The 2012 offer was considered a promotional discount, which is an offset to service revenues, and the 2013 offer is considered a sales and marketing expense. As a result, we’re showing a favorable drop in discounts on this slide, and a related unfavorable increase in sales and marketing costs. Finally, effective April 1, 2012, we completed the conversion of certain of our subsidiaries from C Corporation to LLCs. The conversion to LLCs was the first phase of a restructuring undertaken to reduce the administrative and compliance burden of our organizational structure. One of the benefits of the LLC conversions is that, for tax purposes, the income and losses of the converted entities will pass through to the parent. This is significant in states where there is no opportunity to file consolidated returns. The impact of these changes on our income tax expense is clear in Q1 ‘13 with a tax rate of 39.15% relative to a Q1 ‘12 tax rate of 42.6%. This saved us an estimated $473,000 in Q1 ‘13. At this time, I’ll turn the call over to Earle to go into greater depth on some of the operating factors driving our results.
Earle A. MacKenzie: Thank you, Adele. Good morning, everyone. I like to start by giving you a little more detail on the progress we’re making on Network Vision shown on slide 16. Currently, we have completed leasing and zoning on 456 of the 521 sites we planned to have at the end of the year. 328 sites are on the air, and we’ve launched 4G LTEs on 276 sites. This brings us to 75% of our covered POPs now have LTE. We currently offer LTE in 10 of our 13 market areas. We are still on budget, and expect to complete the project before year-end. I’m extremely proud of our team, and the way they’ve been able to work with Alcatel-Lucent to keep the project on target. Slide 17 shows our postpaid wireless results. We ended the quarter with 263,957 postpaid customers. That is a 5.3% increase from a year ago. Continuing with our postpaid results, slide 18, details growth and net additions for the first quarter of 2012 and 2013. We saw a slight decrease in gross additions at 15,824. Due to a larger customer base, and virtually the same churn rate, we netted 1065 customers in the first quarter this year compared to 2064 in the first quarter of 2012. We saw a decrease in the number of sales that came through Shentel controlled channels in the first quarter, which is reflected in the lower cost of goods sold recorded this quarter as Adele previously discussed. Just over 5% of our postpaid customers upgraded their phones in the first quarter, lower than our recent experience. Gross billed revenue per postpaid user is shown on slide 19. We continue to see healthy increases in per user revenue. The first quarter was $62.87 per user, an increase of almost 4% in the past year. The data component continues to grow increasing over 8% to $31.06. We saw a modest $0.10 decrease in voice revenue. The increase continues to be driven by our customers migrating to smartphones for the additional $10 fee, and an improving mix of price plan. On slide 20, it’s the reconciliation between our gross and net billed revenue. Gross billed revenue in the first quarter of 2013 was $49.6 million, an increase of 9.5% over the same quarter last year. Net service revenues shown on our financial was up almost 12% to $35.2 million. Bad debt was up about $100,000, but bad debt as a percentage of gross billed revenue went down. Credits and discounts fell 400,000 from the same quarter last year. As shown on slide 21, the most popular price plans continue to be our Everything Data plan. The top three devices sold were the iPhone, the Samsung Galaxy S III, and a new addition, the HTC Evo with 4G LTE. 75% of gross adds and 81% of upgrades purchased the smartphone in the first quarter. Smartphones now make up 68% of our postpaid base, up from 65% at the year end 2012, and 57% a year ago. We’re also making a conscious effort to move customers from WiMAX to LTE devices, which is a smartphone for smartphone SWAP. A small percentage of these customers will now incur the $10 smart fee since they purchased their phone prior to February 2011 when we started charging the fee. We provide some iPhone stats on slide 22. The iPhone represents 26% of new gross adds. 34% of iPhones sold this quarter were in Shentel controlled channel. As of March 31, just over 21% of our postpaid users have an iPhone. You see the breakdown by model at the bottom of the slide. The iPhone 4 and 4S continue to sell well. Our prepaid results are shown on slide 23. We had over 21,000 gross additions in the first quarter with 6,227 net additions. The additions were more heavily weighted towards the last half of the quarter. We believe this was due to the delay in tax refunds from the IRF this year. There are lower net adds due to slight increase in churn on a larger base. We are encouraged that we did more gross adds in 2013 than 2012, which shows continued demand for our prepaid product. We had 134,404 prepaid customers as of March 31, an increase of over 17% from a year-ago. Continuing with prepaid on slide 24, as I mentioned, our churn was up slightly to 3.9%. A contributor was churning off of insurance customers as Sprint and other carriers bought it to weed out duplicate and unqualified users. We expect that churn may increase in the second quarter, as this process continues. Average build revenue was down slightly in the first quarter, but we do not expect this as a trend. We move to our cable results on slide 25. We ended the quarter with 116,576 revenue generating units or RGUs, that’s up 2.3% in the past year. We saw an increase in both RGUs and customers in the first quarter. We added 1,685 net RGUs and 775 net customers in the quarter. The net adds consisted of 1,454 new high-speed Internet users, 533 new voice users, and 302 less video users. Although we did have a loss of video RGUs, the loss was less than recently experienced. We continue to focus on two and three service bundles, and are seeing existing customers migrate the higher data speed. I’ll remind you that second quarter is when we experienced the loss of our college student customers for the summer, primarily in our Radford and Farmville systems. Slide 26, shows that our base consists of an improving mix of services and customers. In the past year, our average monthly revenue per RGU has increased over 6% to $54.34. Our average revenue for customers increased almost 10% to $83.43. This reflects the higher average revenue per RGU, and more RGUs per customer. The increase in high-speed Internet and voice RGUs, and the loss of video users is reflected on slide 27. You see that in the past year, Internet penetration has grown to 25.8%, and voice to 8.2%, while video has dropped to 33.1%. You note that our homes passed number at the top of the slide has increased by over 2,000 to 185,099 in the past year. The increase is a result of taking over small adjacent system in Southern Virginia of approximately 1,000 homes passed as of January 1, and selectively extending our network to serve new customers. Our digital video penetration will grow substantially over the next 2.5 years as we plan to go all digital in all of our systems that are less than 1-gig.The reason to go all digital is to increase the capacity in these networks to allow us to offer more HD channels and give us more data capacity. We expect to upgrade approximately 20,000 analog customers to digital as part of this project. Our first market started on May 1. Our Wireline results are shown on slide 28. We ended the first quarter with 22,234 regulated access lines. This is a decrease of 604 in the past year. Our access line loss of 2.6% in the past 12 months continues to be well below the industry average. We continued our growth – to grow our DSL customers to 12,665 as of March 31, an annual increase of 1.5%. My final slide, slide 29 shows our actual and estimated CapEx spend. There are no changes to report from what we shared during our year end call. We expect to spend approximately $125 million this year, primarily finishing up Network Vision, completing our final Cable upgrade, and adding additional capacity to meet growth. As shown, 23% of our CapEx budget is success based. We will spend these dollars only if we have associated new revenues. I’ll now turn the call back over to Adele.
Adele M. Skolits: This concludes our prepared remarks. Charlotte, please review the instructions for posing a question.
Operator: Certainly. (Operator Instructions) Our first question comes from the line of Barry Sine from Drexel Hamilton. Your line is now open. And you may proceed with your questions.
Barry Sine – Drexel Hamilton: Good morning, folks. And a very nice quarter. Adele, I guess the first question is for you, and this is similar to a question I think I’ve asked last quarter. Focusing on slide 29, when you go through capital spending, I want to just again have a discussion on how we should be thinking about capital spending going forward; and my thoughts are obviously that $76 million in wireless CapEx, $60 of that is for Network Vision. So presumably, that comes down pretty dramatically, and then on the cable $23 million, how much is added to that final upgrades, so I can get a sense of what that might look like in the 2014. You say 23% is success based, what percent is maintenance CapEx?
Adele M. Skolits: I’m sorry, what was the end to that question, Barry? What CapEx?
Barry Sine – Drexel Hamilton: What percent of CapEx is maintenance CapEx?
Adele M. Skolits: I believe you can assume on a go-forward basis that maintenance CapEx would be about 10% to 15% of revenues. As Earle pointed out, as you grow your customer base, it’s not just the maintenance, obviously it’s capacity issues as well that we need to deal with. So, a lot of that substantial proportion of what we will spend on an ongoing basis is, success-based in the form of capacity needs, but the final system is only about $1.5 million, I’m remembering Earle. So we are not looking at a substantial amount of money being spent on that final system in the latter half of this year.
Earle A. MacKenzie: That’s a system in roll-out (inaudible). The last one of the 2010 acquisition is actually a $9.5 million project, and we are well over halfway finished on that. So as far as the amount of upgrade in the 2013 budget, it’s probably in the $7.5 million to $8 million range.
Barry Sine – Drexel Hamilton: Okay. And then how should we think about, and I guess where I’m going with this is, does it look like you’re going to be very, very cash flow positive again in the future as you have in the past. How should I think about longer-term CapEx on the wireless side as we get past the Network Vision project?
Earle A. MacKenzie: I think that probably a good range would be in the $20 million a year range for maintenance and capacity, if we continue to grow at the same pace that we’re growing. The unknown here is obviously the – if there’s an acceleration in data usage.
Barry Sine – Drexel Hamilton: Okay. And then the other question that I had on the wireline slide, slide 28, you mentioned broadband penetration in the LEC area at 57%. My recollection there is that there is no other terrestrial broadband provider, so that number stands a little bit low to me. Could you kind of update me on what’s going on competitively in ILEC area, and what are those other 43% of residents doing for access of the Internet?
Christopher E. French: We are the only high-speed broadband provider. We do believe that there are a smattering of satellite customers, but not many based on our research. We still do have dial-up customers, who believe that dial-up is adequate, but I think what you’re seeing Barry is part of that digital divide of the number of homes that have computers in urban areas versus rural areas. The other issue being that we have a little older demographic than the country in general, and I think that you’ll find in most rural areas, there’s probably not the 80% plus penetration of computers in homes that you wouldn’t find that here in some rural counties that you would find in the urban areas.
Barry Sine – Drexel Hamilton: Okay, understood. Just wanted to make sure I am seeing that correctly. Those were my questions. Thank you.
Adele M. Skolits: Thank you, Barry.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Greg Burns from Sidoti & Co. Your line is now open. And you may proceed with your question.
Greg Burns – Sidoti & Co.: Good morning.
Christopher E. French: Good morning.
Greg Burns – Sidoti & Co.: Just had a question about the sequential improvement in margins, I was wondering if you could give us just a little more color on where the improvements were coming from, and then looking forward, are there any offsets or is this a good run rate to go forward, and maybe do you expect even some margin improvement?
Adele M. Skolits: Greg, this is Adele. Some of the margin improvement that you’re seeing is related to the accelerated depreciation in wireless dropping down; in fact depreciation in the Wireless segment was down by $1.7 million. And as we swap out those 3G stations, the accelerated depreciation on the 3G station stops. So, you continue to see that changing as we swap out the remainder of the 3G stations with 4G stations. Obviously, the change in the tax rate is substantially – change there will continue, and yes, the margin should look a lot more like this first quarter, than they do or they will like the 2012 margins that you had been seeing when we had the accelerated depreciation. Obviously, the prepaid adjustment made a pretty profound effect on our results in wireless as well, and we expect that to continue going forward. So, I think, we’ve got the most substantial portion of the 4G costs already reflected here.
Earle A. MacKenzie: Greg, probably the one area that could go back the other way is the cost of goods sold on the equipment. We did have a lower – a fairly low percentage of upgrades in the first quarter, we kind of attribute that to the fact that there was no real hot new phone out, and I think people are waiting until the Galaxy 4S and potentially another iPhone before they upgrade, so that will probably rebound back to more historical levels. The other part is, just the mix between the sales that we made in our channels versus in third party channels. As you recall, the costs are reflected on our financial statements when they come through our channels. So when we have that shift in a quarter between a channel mix, that can have an impact, which could shift back if we pick up the increase fee, the number of – or the percentage of sales that are made in our channels.
Greg Burns – Sidoti & Co.: Okay. Thank you. In terms of the potential rate we sent in July, do you expect any change in the service fee for Sprint at that time?
Adele M. Skolits: They certainly have the option, based upon an analysis they have yet to provide to raise that rate to the maximum of 14% from its current rate of 12%, and we are prepared for that.
Greg Burns – Sidoti & Co.: Okay. In terms of the postpaid gross adds, can you just remind us what your penetration rates are in the Quad State area versus Pennsylvania, and do you think there’s anything you could do to see the gross adds move higher?
Earle A. MacKenzie: We don’t disclose the detailed penetration in the two areas. The Quad State is higher than Central Pennsylvania, but we don’t give those details. I think one of things that we have to kind of focus on is that we’ve been going through a major construction project here for the last 15 months. We have taken sites off the air; put the sites back on the air, we’ve had to re-optimize the coverage area. It has been disruptive to our customers. But, yeah, we’ve been able to hold the churn rate relatively constant. As we move towards the end of the year, and we finish up Network Vision, we don’t have LTE service in a ubiquitous area. The other thing that we will have that we’ve discussed before is that, we’ll be launching VOIP at 800, and that’s going to give us better in-building coverage, and that actually is going to be happening here later in the second quarter, and in parts of our area, and then spreading out to all of our service area before the end of the year. So, I think we’re going to have some significantly better coverage. Obviously, we are impacted by the national advertising that Sprint has done or is doing. As you may be aware, they have been really focused on converting their IDN customers to CDMA, and have stated that they plan to really refocus to customer acquisitions rather than conversion in the third quarter. So if we can piggy back on their national advertising and with the finishing up of our Network Vision project, we are optimistic there’s some room for expanding our gross adds.
Greg Burns – Sidoti & Co.: Okay. And lastly on the cable side, how many video-only and how many broadband-only subscribers do you have?
Earle A. MacKenzie: I don’t have that number here right in front of me, but approximately 16,000 of our customers do not buy a video product from us. I don’t have the video-only number here in front of me. But that is a dropping number. Those are the customers who are primarily losing; it’s the ones that are video-only.
Greg Burns – Sidoti & Co.: Okay. Thank you.
Earle A. MacKenzie: Thank you.
Operator: Thank you. (Operator Instructions) All right and at this time, I’m not showing any further questions. I would like to turn the call back over to management for closing remarks.
Adele M. Skolits: Thank you for participating. I know this is a very busy day for all of you analysts. Our 10-Q will be released this afternoon. And I invite you to let me know if there are any additional details you’d like to see us include on future calls. My contact information was provided on the press release. Thank you. Have a good weekend.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. And you may all disconnect. Everyone, have a great day.